Henri Poupart-Lafarge: Hello. Good morning everybody. Welcome to our Web Management Conference Call on the Half Year Results for 2019/2020. Good morning everybody. Well, I will go through the overview and then Laurent classically will detail the financial results. As you can see, we have slightly changed the format, the colors of our -- the branding of our slides in order to adapt our branding to our new plan Alstom in Motion and I hope that you will appreciate it. In terms of highlights of this first half, a few points. The first one is that we have a positive commercial momentum. I would say both reflected in our order intake at €4.6 billion, but also reflected in the global market situation. I will come back to that, but we have a very good development, particularly in Europe. Past orders have translated into sales growth of 3% or 2% on an organic basis. Of course, as you know and we said it in the past, this is actually more important growth, particularly in Europe and in the rolling stock activities or in Signalling activities, which is more than compensating a decrease in our system activity or in the Middle East which is the main region for systems activities. And as you know we are now ramping down both Dubai and Riyadh, but I will come back to that. Our EBIT margin is continuing to grow. So, after a number of years of growth we continue on this improvement pattern and we have reached 7.7%. This is the first, I would say, half year after the announcement of our Alstom in Motion strategy and we are in line with the strategy. And by the way the strategy is being cascaded down in all the organization. It was both a bottom-up exercise, but also a top-down exercise and we are now going through the details of the strategy. As far as the cash is concerned, also no surprise here. The cash flow had -- is impacted by the ramping up of the production, particularly in rolling stock. We knew it would happen and this has happened and Laurent will go more into the details but I would say that this is in line with previous statements. I will not go in the numbers as again Laurent will detail them later on. In a nutshell, there is no surprise in these numbers. We are totally in line with our expectations. And there is no, I would say, news no negative news in these numbers. Some positive news on the commercial front, but nothing I would say particular. So, just a first point on the business and our -- in our action plan and new strategy. So, just -- because again this is the first time, so just recall everybody the three pillars of our new strategic plan. One which is the growth but -- by offering what we call greater value to our customers, i.e. to expand our portfolio of solutions and offering to our existing customers. Whereas 2020 was more about geographical expansion and you will see actually that because of the weak markets in Middle East or in Latin America actually a large portion of our orders during the first half have come from Europe. Innovation -- but innovation targeting mostly smarter and greener solutions and you will see also some positive evolution. But I think that every day the environmental importance is being confirmed. And I think this was the right decision to take to fully dedicate our research and development, we dedicate our innovation to green solutions and smart solutions. Last but not least, of course, efficiency. Efficiency in the execution of our record backlog which is even greater today with a book-to-bill above one. We have again increased our backlog during this first half and we need to execute our projects efficiently by deploying digital tools not for the sake of deploying digital tools, but for the sake of improving ways of working between our different sites across the world. So, a few elements on the market. Nothing has really changed as compared to our previous communications. By geography, again, in LatAm, in Latin America, the market is still weak and as you know, the macro situation in Latin America is not satisfactory, so we have a number of uncertainties. Middle East still weak as well. On the contrary, Asia is buoyant. Asia-Pacific is buoyant. Europe very strong pipeline and as see -- I put on the slide a few example of this good momentum. One, we see the rail passenger transport in Europe which has grown quasi 6% -- close to 6% as compared to last year which is a very large number. Usually, we have growth of around 3% to 4% in urban network, but 1% to 2% on Mainline and here we had 6% on Mainline. So, this is due to the renewed interest for rail transportation from a number of European citizens. This has translated into some new orders of high-speed trains in SNCF, so these are additional orders which were not planned, which were not forecasted, and which are entirely triggered by this increase of ridership during the summer. Similarly other example we have the progressive replacement of some airline operations for example between Brussels and Amsterdam by train operations. And as you know there are some attempts in some national assemblies or in some regulations to prohibit any air traffic between cities which were -- which would be closer than 500 kilometers from each other. Similarly high-speed in Lyria similarly in Deutsche Bahn and you probably heard in Germany, the very large investment which is planned in order to face the transition the environmental transition the mobility transition and the Deutsche Bahn has received an extra €20 billion to modernize upgrade its own lines. So, Europe, again, a very strong pipeline a lot of orders. North America, still positive both in Mainline in freight and both in I would say in Canada and in the U.S. So, a very I would say good overall -- good market perspectives. So, as far as we are concerned, again, few orders €4.6 billion of course lower than last year, but last year we recorded this exceptional order for the very high-speed for France. They are not such large orders, so it's a number of smaller orders if I may say midsized orders. A lot of rolling stock orders €2.4 billion and a lot of orders in Europe because Europe is representing 85% of the full -- of the total order intake this year. And you see on the slide a few examples. It's also quite interesting to see that -- remarkable to see that service is continuing to grow with €1.4 billion order in line with last year but book-to-bill which is much larger than one. So, overall, as I said, record backlog of €41.3 billion. Sales, here as well no surprise. I think we said it in the previous period. So, we have growth in rolling stock as some of our programs are ramping up, in particular regional trains whether it's in France, in Germany, in Italy. We are also ramping up our very large and iconic, if I may say, orders across the globes and mainly Amtrak in the U.S. or PRASA in South Africa. Signalling, a very nice activity in Signalling 12% organic growth, a book-to-bill also of one on the back of this growth. So, that's good which is in line with our renewed focus on Signalling. Service, we have a decrease of our service activity, but as you may recall last year, there was a very large increase of more than -- double-digit increase which was due to some renovation project in the U.S. or some midlife activities in the U.K. So, here there was not this exceptional item. So, in the main, we are continuing to grow our service activities. And system as expected Lusail, Riyadh, Dubai have started to ramp down. So this plus 2% is actually hiding, if I may say a number of shifts both geographical shifts as well as activity shift. So a few highlights on our green mobility. Hydrogen Train so we have the second iLint hydrogen train contract. We are working in France. And as you have probably seen in the press so we are talking about 15 hydrogen trains, which are not yet booked in our order book, but which have been discussed with the French regions. And as you know, I recall you that now a very, very large fleet still running on diesel in Europe and all the operators have pledged to remove all this fleet either by 2030, 2035 or 2040 maximum. Our electrical bus is gaining momentum. We have now a number of buses, which have been sold. More importantly, we are going to deliver the first bus and the operations of the first buses will be launched in Strasbourg at the end of the year. And we have been also very successful in the launch of our new recharge system. You know that we have a stationary recharge system in Nice for our tramways and -- but we have launched an experimentation in Malaga for buses for actually non-Alstom buses, which show that we can use this kind of systems for any kind of vessels. A very important order for us which is in line with our willingness to digitalize railway which is the ERTMS for Paris-Lyon. This is -- I mean you may know or not know, but we are not very much present on the very high-speed signalling in France so this is for us extremely important to penetrate these markets. And to show what kind of I would say improvement we can do through these signalling. From 13 trains per hour, we can move to 16 trains per hour. So it's like 20% more than 20%, 25% capacity which of course is extremely important, and much more efficient to do it with a signalling system rather than to build a new line. I mean if you can imagine the cost of a new line versus the cost of a signalling system you can see that this kind of digitalization is of utmost importance for railway today. So we have launched now the Alstom in Motion. So we are continuing our digital transformation. We are continuing to develop our own ERPs throughout the group. And we are deploying what we call smart operations or which you could call Industry 4.0 which is a number of digital tools. So that all our factories worldwide are operated the same way with the same efficiency and the same quality. As said we are now stabilizing our footprint. We are stabilizing our engineering model, our manufacturing model throughout the world so -- and you will see that the CapEx are ramping down as we have new factories being erected as we speak. And we have also -- we are also improving our project execution. So we have a few targets as you can see both in development in time, in processes, in sourcing and operations in the best countries. So again focusing internally, on our own efficiency rather than expanding globally. Last but not least, I think, we can be extremely proud of I think a number of recognitions on the ESG front. We are again I would say a certified ISO 37001, which is the anti-bribery certification, which is good. We have been again included in the Dow Jones Sustainability Index and we are the top 4% of the assessed companies which is extremely good. And we have also been certified ISO 26000. So Alstom I would say by nature is part of the mobility transition and I think we make all efforts to be at the leading edge of the sustainability and development of the world. So now I will hand over to Laurent who will detail to you the financial results.
Laurent Martinez: So thank you, Henri. Good morning, everyone. So let's start with our income statement for the half year. On the adjusted EBIT, we stepped up by 5% up to €319 million driven by volume and execution. As you see on the restructuring charges, we have a limited amount of €7 million mainly in Europe. Other items of €31 million includes mainly our PPA amortization for €8 million and the mechanical reversal of CASCO result, which is now including our adjusted EBIT and this for an amount of €19 million. On this basis you see that our EBIT is stepping up by 28% to €281 million. Bearing in mind that we had as well some Siemens Alstom costs last year for €36 million. If we look below our EBIT line financial result decreased to €40 million compared to €46 million last year as a result of our bonus repayment. We recorded an income tax charge of €61 million corresponding to an effective tax rate of 25%. It was 7% last year. And this is obviously in the range of 25% to 30% ETR target moving forward. In terms of the share in net income of equity investees, we had €36 million related mainly to TMH and CASCO. Last year -- I will come back there was a couple of exceptional which I will detail on next slide. So on this basis, our net income from continuing operation amounts to €213 million and in terms of group share €227 million including a provision restatement of €40 million related to the GE transaction. So summarizing graphically the work from H1 2018/2019, we had first an impact of the GE Energy JV for €100 million which of course is not materialized in H1 2019/2020. Our EBIT increased by €62 million driven by our operational performance and the very limited one-off charge we had in 2019/2020. Tax has been normalized as I said at 25% of ETR. And our share of net income from JVs is now I would say clean of the GE transaction and as well was including in 2018/2019 some exceptional performance related to TMH for €33 million. So leading to our net income of €213 million for this half year. In terms of adjusted EBIT, we reached 7.7% so an uplift in line with our Alstom in Motion trajectories. The drivers was still by obviously the revenue growth, but as well our enhanced operational performance on our contract. In terms of R&D, we are investing and developing our activities. We have uplifted our R&D by €21 million 3.2% of sales. And this in line with our Alstom in Motion strategies focused on signalling and our new very high-speed family development. On the backlog -- our backlog profitability is continuing to improve as a result of our increased competitiveness and execution and our positive order intake momentum. So moving to the cash. As Henri said no surprise on that. Our free cash flow has been negative at minus €19 million anticipated and impacted by our anticipated inventories increase from the ramp-up. We explained on the rolling stock Amtrak, e-Loco, PRASA and our regional trains Coradia Stream and Coradia Continental. As per the perspective we have outlined at our Capital Market Day this ramp-up of rolling stock project will continue obviously along the years and will impact our cash flow generation at full year. So you've seen as well that we had some positive CapEx phasing for H1 with an amount of €60 million in terms of industrial CapEx. We are expecting to reach our order of magnitude that we have announced in the Capital Market Day, i.e. 2.5% of industrial CapEx over sales for the full year. Finally, financial cash out has been I would say conditional to the coupon payments and the cost of ForEx and hedging. And we had some positive contribution from dividend inflows from TMH and CASCO. As part of Alstom in Motion strategy, we have as outlined as well in our CMDs, we have launched our holistic Cash Focus Program as part of our efficiencies pillar, aiming as you know stabilizing our working capital on the mid-term and reaching our free cash flow to net income objectives. So we have been progressing and implementing a number of initiatives on some of our key drivers in terms of working capital targets at tender phase, which I need to approve personally in case of deviation. In terms of operations, we are implementing vendor’s management inventories and electronic invoicing, which are spread out in the group. And we are launching pilots in terms of testing reduction, which will be as well expanded in the group overall. Finally, we are -- and we have implemented management incentives aligned to this free cash flow targets to 10,000 people in our company supported by of course a strong training and communication. So altogether our Cash Focus is a top priority not only in our management team, but progressively down to the shop floor on each and every of our sites. Moving to the gross debt and liquidities, our outstanding balance amounts to €596 million as of end of September 2019 after a repayment of €300 million in July 2019. As you know on October 8th, we issued unsecured eurobond for a total of €700 million for seven years with I have to say a record fixed coupon of 0.25%, which I would say -- which is a record low in terms of our rating and our sectors. So the rationale of this is to ensure the refinancing of our existing bond and ensure as well our long-term flexibilities. It helps us as well to reestablish us on the bond market after six years of absence. And this evidence is attractiveness of Alstom distinctively on the debt capital market with this success. In terms of gross cash, we have gross cash in hand of €1.8 billion after notably the distribution of our dividend in July. And finally, we have as always undrawn revolving credit facility of €400 million. In terms of evolution of the net cash, the key driver is obviously the dividends payment in July on this basis and some adaptation of negative cash acquisition disposal already to speaking of and ForEx. We are enjoying a net cash position of €991 million as of end of September 2019. In terms of IFRS 16, please note that this net cash does not include leasing obligation and IFRS 16 debt for €410 million, which is included in our financial debt. So I will now turn back to Henri for the conclusion.
Henri Poupart-Lafarge: Thank you, Laurent. So as a general conclusion, I mean this first half has been totally in line with our plans both commercially and operationally. And, therefore, with no surprise we confirm the outlook, which has been given to you during the presentation of Alstom in Motion for 2022, 2023. All what is happening was planned at the time both in terms of sales ramp-up in terms of profit generation and in terms of net income. So I think with that ,we will conclude this presentation by reminding you a few words; Alstom in Motion on track a good market perspective and of course our focus on the backlog. So I'm ready now to answer to your questions. I think there are a number of people lining up for questions. So please -- I don't know if the operators can give the floor to the ones asking questions.
Operator: Thank you. [Operator Instructions] And we'll now take our first question from Gael de-Bray from Deutsche Bank. Please go ahead. Your line is open.
Gael de-Bray: Yes, good morning everybody. Thanks for my question. Can I have actually two questions? The first one and then a follow-up. So starting with the market trends, which obviously so far have been extremely strong and probably pretty strong for a number of years now in particular in Europe, I think the market has probably grown at a higher pace than the usual 2.5% to 3% CAGR that the various experts like the UNIFE have usually communicated about. And given the positive and dynamic signals that you've talked about in Europe, do you think that the rail equipment market has fundamentally become greater than GDP growth industry? So that's question number one. And then maybe quickly the second one on the cash flow side. How should we understand, how should we interpret the €300 million swing in contract assets within the working cap? Would you expect a positive reversal of this line once revenues reaccelerate perhaps in a few quarters?
Henri Poupart-Lafarge: So thank you Gael for your questions. I don't know if the second one is actually a follow-up of the first one, but I would say there are two questions. On the first one, you're right. That in Europe in particular, we are at the moment where the mobility transition is attracting a lot of investment and a number of countries are investing to tackle this mobility transition. And in that sense you're right by saying that this growth is probably higher than the GDP. As a side comment, as I said there are other regions such as Middle East, Latin America, which are not doing so good. So overall I don't know if the 2.5% to 3% global market growth will have to be revised significantly upward. But clearly in Europe at that moment and we don't know how long it will take to I would say for this market to completely mature but we are -- we see a growth, which is higher than the GDP clearly. As you can see by the way on the ridership I mean if the ridership is 5%, 6%. I mean ultimately this will drive strong growth of our market. On the cash flow items Laurent?
Laurent Martinez: So, Gael thanks for your question. So as I said we maintain our free cash flow perspective in the CMDs. And so this is -- if I look at the working capital for H1 the numbers you are mentioning and the working capital evolution is fully, I would say a ballistic evolution of the ramp-up of our main rolling stock projects; Amtrak, e-Loco, PRASA and the regional train I was mentioning. So if we look ahead in the second half as I said this ramp-up on rolling stock will continue to happen, and of course will I would say impact our working capital. Of course, there will be as well this is our mid-term target stabilization of this in the midterm as we outlined. So all-in-all, we are exactly in line with our Capital Market Day perspectives. And just we might taking these opportunities that there is always into our working cap, the usual short-term fluctuation related to the progress payment not to the  I would say inventory or the cost side of the equation, but more the progress payments.
Henri Poupart-Lafarge: Thank you, Laurent. Second question?
Operator: We will now take our next question from Alexander Virgo from Bank of America.
Alexander Virgo: Thanks very much. Good morning. I just wanted to get a little bit more into this cash flow question. And it's probably a little bit more around your Cash Focus Programme. Just trying to understand what – how you've changed the incentive program. Obviously, you've extended it down to 10,000 employees that's encouraging. I just wanted to understand how you're linking them. Are they linked to the overall targets at the group level, or are they more business-specific targets? And how much of that compensation – or how much does that play into the compensation at the end of the year? That would be really helpful, because I guess I'm just trying to understand how we see the cadence of the cash flow conversion improve towards the – to the 80% by FY 2023? Thank you.
Henri Poupart-Lafarge: Yeah. Thank you, Alex for these questions. So indeed aligning the management to the cash target is a critical part of the equation of our Cash Focus Programme. So to give you more color around this. So we have 10,000 people which are incentivized on the group free cash flow performance for this year for 2019/2020. This target is supplemented by some operational target which are specific to project site or functions like sourcing. So there is I would say a number of parts which is one free cash flow generation as One Alstom team for everyone and then more operational targets which are linked to the individual objectives of our 10,000 people. In terms of weight on this we are talking about a significant part of our – I would say short term incentive plan related to the cash. We are talking about 40% of the financial targets, which are linked to this. On the midterms, the free cash flow to net income this is something which is addressed by our long-term incentive targets which are around 1,000 people in the company. And this is in line with our Alstom in Motion of course overall objectives. So with this you know that we are tying up the targets in a very consistent manner.
Laurent Martinez: Thank you. Next question.
Operator: Our next question comes from Alasdair Leslie from Societe Generale. Please go ahead Mr. Leslie your line is now open. Please ensure that you are not on mute. It appears the participant has stepped away. We will now take our next question from Akash Gupta from JPMorgan.
Akash Gupta: Yeah. Good morning, everybody. I have one question and one clarification of earlier answer. The question I have is about your project pipeline. If you can tell us about some of the large projects that we should be watching out in the second half of the year. And maybe also, if you can talk about how is the competitive environment out there. Do you see any player which is being more aggressive than the other? Maybe if you can comment on that? And then I have a clarification regarding working capital comments. So are you saying that we should expect this ramp-up in working capital to continue in second half? Or any sense that we should expect full year working capital build to be above what you have reported in first half? Thank you.
Henri Poupart-Lafarge: Thank you. Thank you, Akash. I mean, I – there are a number of tenders around the world whether we are in Europe or whether we talk in the world, which are currently being assessed. We can talk about the Metro in Paris for example which is one of the largest tender being discussed as we speak for the renewal of the quasi entire fleet of the Metro in Paris at least all the steel fleet. That's one of the largest one. We have tenders in Australia which is going on. We have in the U.S. We have the Washington Metro, which is also well known. We have the Denmark regional trains not for this year, but for the year after which is also well known. So there are a few large tenders which are being currently – this is like new very large turnkey projects. As I said the turnkey activity is relatively low today, and none of these very large projects whether in Dubai or in Saudi Arabia or in this kind of regions are resumed. In terms of competitive behavior I think it's also always difficult to pinpoint on to one competitor versus another. It's clear that there is a continuous pressure from competition. You've seen probably in their results announcement some wins from Stadler from CAF from Siemens. So the market is quite good. So a number of competitors are showing good results. As far as CRRC is concerned, we see them winning contracts here and there in the world. There's not been a huge change in their penetration recently. There are still some cities to penetrate in the U.S. and in Europe. There are more present in other parts of the world. So yes, we see a continuous activity from competition, and I would say both the midsized, if I can call them midsized even though they are quite large and global players. On this working cap issue, Laurent?
Laurent Martinez: Yep. So Akash, thanks for your question. So as I said the rolling stock ramp-up will continue in H2 so – and this ramp-up will continue to impact our working cap in the second half along our perspectives and will continue to impact our free cash flow generation.
Akash Gupta: Thank you.
Operator: Our next question comes from Daniela Costa from Goldman Sachs.
Daniela Costa: Thank you. Good morning. First, I have two clarifications and then one question just on the prior – on the two or three prior questions. Just wanted to double-check on your free cash flow on the point on sort of working capital and advances earlier. So, have all the advances for this €4.6 billion of orders been booked? Or are there some of the large orders in there for which we should expect advances to fall into the second half? And then one clarification give – regarding your large tender comments. I thought, you had been shortlisted for a large contract in Perth in Australia. But I might have missed it, but I didn't hear you talking about that large order. Can you comment whether sort of that has been canceled or moved or? And then my question was regarding the fourth railway package which is being introduced next – in January? Sort of how will that impact Alstom? How do you view that in terms of tendering activity mix of orders et cetera? Thank you.
Henri Poupart-Lafarge: Okay. Laurent on the working?
Laurent Martinez: Yeah. On the working capital, Daniela thanks for your question. So indeed, we had some advanced payment also in H1. Bear in mind that as always services contracts usually does not bear any down payment. So, we had – I would say the nominal down payment on the order for H1, without the services contract. On H2, as Henri explained, we are expecting to have as well a positive commercial momentum. We are not expecting, I would say spectacular down payment. I would say the trends will be very consistent with our first half on these subjects.
Henri Poupart-Lafarge: Thank you, Laurent. On your two questions. yes I was mentioning in our large orders, orders coming from Australia so I had in mind, in particular, certainly this Perth order for which as you probably have seen we have been shortlisted or we have not made any announcements. It has been said in the press that we are shortlisted. So yes, we are discussing on finalizing this order. So it's still there. It has not shifted. We were not expecting it to be finalized before the end of H1, but we can expect it to be finalized before the end of H2. On the fourth railway package, we start to see some consequences of the fourth railway package. I was very much pushing for this fourth railway package. I think it's a very good package. You know, there are two elements of this package. One is a technical element, which is to try and instigate global European homologation rather than national homologation. So we see some impact of that. So it's -- we go through now the European Railway Agency to homologate our trains, so it's starting. And that of course simplify the processes instead of going through all the national security agencies. The second element is the liberalization of the railways and -- which is accelerating. And one element of that not entirely linked to the fourth railway package because this was already launched, but still accelerating is the deregulation of the Spanish market. And probably you have seen that some operators have submitted some offers in Spain for getting access to some slots on the various speed lines in Spain. We are also talking in France about the deregulation of the market. Usually when you have a deregulated market you are more -- you have more activities. The ridership as you can see the example in Italy or in the U.K. the ridership is increasing faster. And it's also a good opportunity for us to do some maintenance activities which are usually performed in-house by traditional operators, but which are usually outsourced by newcomers. So it's early days, but it's moving in the right direction. Thank you.
Operator: We will now take our next question from Jonathan Mounsey from BNP Paribas.
Jonathan Mounsey: Hi, good morning. Thanks for taking my question. The inventory build in H1 if we look at this the other way around obviously you build inventory so that you can start ramping PRASA Amtrak the regional trains. And the way IFRS 15 should work, I would imagine as soon as you start building those trains you'll start booking revenue.  So when does that start to happen? Is that an H2 '20 event? Should we see a reacceleration of organic sales growth? Or do we have to wait till FY '21? And roughly, I know that over the long term you're guiding to 5% organic sales growth. But given that you've started the period over which you're targeting that slightly slowly can we start to see us moving above 5% into 2021 or even as early as the second half of this year?
Laurent Martinez: Yes. Jonathan thanks for your question. As you are absolutely right, IFRS 15 makes that -- our service sales is linked to our cost. And if we look at the rolling stock evolution for this half we are already at plus 9%. So you see that the inventories buildup is producing quite a massive ramp-up. And from an industrial standpoint 9% is quite positive. On this basis for sure, we see this sales increase in the second half in term of rolling stock continuing to increase. So you will see an acceleration on the rolling stock in the second half and of course in 2021. Now to your point in terms of the average sales, so this is also dynamic. So dynamic on signalling is as well very positive. But as Henri explained there is as well another dynamic on the systems evolution which is a slowdown due to the completion of our projects. So that will be the dynamic that we will see of course in the second half of this year.
Jonathan Mounsey: Okay. Thank you.
Operator: We will take our next question now from James Moore from Redburn.
James Moore : Can I clarify one thing, first? And I've just got three questions. Just to clarify on the working capital ramp-up effect. You said it will continue to hit the second half. But will it be another year-on-year headwind next year in fiscal 2021? Maybe if we go one at a time?
Laurent Martinez: Yes. So on the working cap yes as I said there will be -- we see an impact in the H2. I'll remind everyone that we are still talking in our perspective which has not changed since the Capital Market Day of free cash flow generation. This is still the perspective we are having. And as I explained as well on the 24th of June, we'll see an evolution, a negative evolution or headwind in terms of working capital due to the rolling stock in 2019/2020 and in 2020/2021. So nothing has changed James on these subjects.
James Moore: Thank you.
Operator: We will now take our next question from Ji Cheong from Citi.
Ji Cheong: Hi, Ji from Citi. Thanks for taking my question. Just one, on the ramp-down seen in both the services and systems from the U.S. and the Middle East can you just elaborate on what this is and if the impact is confined to H1?
Laurent Martinez: Thank you for your question. The ramp-down is continuing in H2. Basically Dubai for example as you know its Expo 2020 so the new service of this metro has to happen more or less mid-2020. So we have seen some activities which will continue to go down. Same thing for Riyadh it's a similar time frame as well as for Lusail. So we see a continuous -- we are seeing some activities. We had high activities last year because we were in a full delivery mode lower activities during the first half and even lower during the second half. And next year I mean these projects will be virtually completed.
Ji Cheong: Thank you. 
Operator: Our next question comes from Alfred Glaser from ODDO.
Alfred Glaser: I was just wondering about Signalling. You are doing much better in terms of revenue in the first half. That was one of your targets at the Capital Markets Day to improved dynamics here. Should we expect Signalling to continue as strongly in terms of growth in the second half and next year? Or was this kind of special acceleration in the first half?
Henri Poupart-Lafarge: Thank you Alfred. I think that's -- the momentum of Signalling is there. And we have a good order intake and we have good perspectives for the order intake for the full year. Having said that, I will not confirm that this more than double-digit will continue next year, we expect it for the full year. For next year it's a little bit too early to say because it depends on some of the order intake and it's a much shorter cycle. But in the main, the high momentum will remain at least for the full year.
Alfred Glaser: Thank you. 
Operator: Our next question comes from Katie Self from Morgan Stanley.
Katie Self: Hi, good morning. I just had a question on the order intake and the level of unannounced orders. It was incredibly high this quarter. I think it was about double the normal sort of run rate of an announced. Could you just comment on what's going on there? Was that a couple of large orders that perhaps the customer had asked not to be preannounced? Or was that a really high level of midrange orders?
Henri Poupart-Lafarge: I think it's -- thank you Katie for your question. I think it's mostly due to the midsized orders. As you have seen during the first half, we had few very large orders but a very large number of midsized ones. So I think this is probably related to this announcement. We have also a few maintenance contracts which have not been announced some renewal of maintenance contracts which have not been announced. So you have seen that. On the service side a number of contracts some of them were renewal of maintenance contracts for which there has been no announcement by the customer. Okay? Thank you. Anyone else have other questions?
Operator: There are no further questions at this time.
Henri Poupart-Lafarge: Okay. So thank you. Thank you everybody for your time. Thank you for your attention. And we'll be pleased to meet some of you during the few days. And again I think this first half was in line with our expectation and we will strive to continue to deliver our plan in the coming quarters. Thanks a lot.